Operator: Good morning, and welcome to today’s webcast. All lines have been placed on mute and this event will be recorded. There will be a verbal Q&A session at the end of today’s presentation. At that time, the operator will instruct you on how to ask a live question. (Operator instructions) Again, today’s event is being recorded. We’ll pause for a moment to initiate the recording. Ladies and gentlemen, please standby. Welcome to the first quarter 2009 earnings call for Garmin Limited. At this time, I would now like to turn the event over to Kerri Thurston. Please go ahead.
Kerri Thurston: Good morning, we’d like to welcome you to Garmin Limited’s first quarter 2009 earnings call. Please note that a copy of the press release concerning this earnings call is available at Garmin’s Investor Relation site on the internet at www.garmin.com/stock. Additionally, this call is being broadcast live on the Internet. Please note that this webcast does include slides which can be viewed during the call. An archive of the webcast will be available until June 8, 2009 and the telephone recording will be available two business days following this call. A transcript to this call will be available on the Web site within 48 hours under the events calendar task. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market share, product introductions, future demand for our products, and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur and actually results may differ materially as the result of risk factors affecting Garmin. Information concerning those risk factors is contained in our Form10-K for the fiscal year until December 27th, 2008 filed with the Securities and Exchange Commission. Attending today’s call on behalf of Garmin Limited are Dr. Min Kao, Chairman and Chief Executive Officer; Cliff Pemble, President and Chief Operating Officer; Kevin Rauckman, Chief Financial Officer and Treasurer; and Andrew Etkind, General Counsel. The presenters for this morning’s call are Cliff Pemble and Kevin Rauckman. At this time, I’d like to turn the all over to Cliff Pemble.
Cliff Pemble: Good morning! As you’ve read from our press release this morning, Garmin announced first quarter results that reflect the very difficult macroeconomic conditions facing the company. As we noted in February, we expected 2009 to be the most difficult year in our history and has definitely started out that way. Against this backdrop we do see positives in our financial performance. While revenues fell 34%, our consolidated gross margins were 45% as higher-margin business segments contributed a higher percentage of revenue. EPS while down significantly, was $0.25 per share, excluding the effects of foreign currency. And we were able to generate $286 million of free cash flow and remain at that (inaudible). From a business perspective, we have continued to outpace the competition as our global PND market share increased 2% in fourth quarter to 37%. And our North American market share remained above 50%. Our outdoor fitness segment posted year-over-year revenue growth of 13%, driven by growth in the fitness category. We also increased our penetration at OEMs across the marine, automotive, and aviation segments, as OEMs recognized the strength and value of our product offering. I’ll discuss this in further detail in a few minutes. Reviewing our business by segment, in the automobile segment our revenue declined 43% in the first quarter, as retailers around the world had been reducing there inventory levels. We also experienced a steep, but we believe temporary decline in ASP as price protection was offered major retailers to help clear inventories. On a sell end basis North American units declined 5% year-over-year. But the declines in Europe were much steeper at 32% year-over-year. The outdoor fitness segment continued to post growth with revenues up to 13% over the prior year. Our product lineup in both outdoor and fitness continues to outperform the competition, resulting in further market share gains and penetration. Revenues from our aviation segment decline 31% in the quarter much as we anticipated going into the year. The decline was across the entire product line impacting OEM, retrofit, and portable products. And finally, revenues from the marine segment declined 32% as we faced the on going downturn affecting the entire marine industry. On the positive side, we have secured a number of new OEM relationships, which will help offset the revenue declines in the retail side of the marine business. While the over all economic news has been mostly negative, we do see some positive indications. For example, on the automobile segment, it is important to note that the retail sell trough in them in the North American market continue to grow on a year-over-year basis. As retail inventory levels have reached a low point, we expect to sell in to the channels to trend more inline with sell through. This combined with improving AST’s will positively impact revenues and margins in this segment going forward. We do expect a full year decline in units in Europe due to the market maturity and economic slow down affecting that region. As we look at the non PMV segments, we expect growth in the outdoor fitness segment to slow for the remainder of the year due to the strength of this segment in 2008. We remain excited about the new four other products coming in the market in the second quarter, an additional product introduction throughout the year. This will help upset slowing growth in the category. In aviation and marine, we’ll be focusing on stabilizing our revenues and margins as we continue to win new OEM partners and completed additional certifications of the G1000 as a retrofit solution. In spite of the economic impacts on our business, our strategy remains intact. We are focused on long term growth opportunities and product innovations to further extend our market leadership in navigation and communication. Next, I’d like to brief you on some recent product introductions. We’ve recently introduced a new family of nuvi products with 1200 and 1300 series with an updated form factor and new features. We also slim design on these new product family. It’s 25% thinner than the previous generation products making these devices even more portable. These devices also offer pedestrians navigation enables to our city explorer maps, which can be purchased and downloaded by the user. After downloading, the nuvi can be used for navigating the public transit systems in selected cities around the world. In addition, we’ve introduced the nuvi 1490T, which combines a five-inch screen with the new slimmer form factor and is perfect for customers who wish to have a larger screen without sacrificing portability. The 1490T offers premium features such as traffic, lane assists with junction view, and the ability to download to city explorer maps. And finally, in the automobile segment, we are pleased to announce our OEM relationship with Chrysler. Garmin has been selected to provide en dash navigation for the 2011 model Jeep Grand Cherokee. The navigation will be combined with Chrysler’s Uconnect radio on a 6.5-inch touch screen display. This is an exciting collaboration that started some time ago. And we look forward to helping Chrysler rebuild and grow their business in the future. We recently introduced two new products in our fitness category. The Forerunner 310XT was specifically designed with the triathlete in mind. The 310XT is water proof to adapt to 50 meters and has an optional quick release bracket so it can easily be moved from bike to the wrist. It also incorporates our ant bust technologies providing wireless con activity to a heart rate monitor, foot pod, power meter, third party fitness equipment, and the users PC or Mac. In addition, we introduced a new model in our Forerunner family, the 405CX. Based on the feedback from our customers, the 405CX offers two primary upgrades, improved caloric computation, and improved comfort. The caloric computations are based on algorithms developed by exercise scientist and world class athletes proving improved accuracy. Comfort has been enhanced through the choice of two form fitting wrist bands to accommodate both large and small wrist sizes. We’ve made several important OEM announcements in early 2009. On the marine’s front, we have announced relationships with EdgeWater Powerboats. Garmin has been selected to be the exclusive navigation provider on EdgeWater’s full line of powerboats. Next is Ferryline Boats. Ferryline is equipping their boats with the Garmin Marine Network, which includes our 15-inch touch screen chart (inaudible), high definition radars, VHF radios, and the recently released GHP10BE autopilot. This equipment will be standard on the 2010 yacht range. And finally, there is GulfCraft Inc. We will provide a full range of products to GulfCraft for the 2010 line of Silver Craft and Oryx brand fiberglass boat yacht. Our aviation foot print continues to expand as well. We’ve recently announced expanded relationships with Piper on a meridian a six feet turboprop aircraft and Sirius on the vision SF50 personal jet, which is in development. And finally, there is Caniar [ph]. We recently achieved supplemental type certification for Garmin G1000 in the Caniar 200 and V200 aircraft for the retrofit market. And finally, turning to nuvi phone, we can report that we have made significant progress in the testing and certification of the devices in preparation for carrier and retail launches. We remain confident in the appeal of location centric devices for the smart phone market and are actively working on distribution and pressing arrangements. At this time I would like to turn the call over to Kevin who would provide a more detail look at our first quarter results.
Kevin Rauckman: Thanks, Cliff. Good morning, everyone. I just want to lock down the financial results for the first quarter. Starting with the income statement, you can see that we recognized revenue and Q1of $437 million net income of $49 million, which represents earnings per share of $0.25 excluding foreign currency loss. So we see a 34% top line decline and a 64% earnings per share decreases excluding the FX. Our effective tax rate yet remains consistent with the first quarter of ‘08 at 19% during the period. Growth margin came in at 44.9%, which was better than expected due to the increased contribution of our higher margin outdoor business, aviation, and marine segments. However, operating income fell 56% to $58 million, compared to $173 million in 2008. Our operating margins of 13.3% were down from 26% last year as revenues fell. The gross margin, 330 bases points, unfavorable. Our advertising expense was 40 bases points favorable and down $15 million on a year over year basis. Other SG&A were 170 bases points, unfavorable as our cost on this area were flat on a year over year basis. And R&D was unfavorable by 510 bases points with an increase of $6 million year-over-year. The unit shift during Q1, declined 13 % year over year as the 2.4 million units we’ve shift were delivered during the quarter. Strength on outdoor fitness was offset by declines in all the other segments. In our total company average selling price was $181 per unit, down 24% from the same couriers from 2008. However, this was up 10% from the $165 AFP we announced in the fourth quarter of ‘08. So clearly, our financial results were primarily impacted by the reduction in sales both sequential and year-over-year. We did decrease our operating expenses by $56million sequentially but this was not enough to offset the significant decline in sales. However, we believed that the first quarter marks the low point for operating margins during 2009 and would increase sales volumes during the remainder of the year, profitability will improve. The non-GAAP measures were reported this morning include net income excluding effects of foreign currency. This impact was $0.01 per share, unfavorable during the period and $0.02 per share, unfavorable for Q1 2008. During Q1, we experienced the 43% of revenue decline with in the automobile segment while the shipments decline in that segment 16%. Our outdoor fitness segment continue to grow with a 13% revenue increases when compared to Q1 of ‘08 with the fitness category continuing to drive the growth. Aviation segment revenue fell 31%, compared to Q1 of 2008 with decline in all portions of the business, the OEM, retrofit, and portable products. Marine segment revenues fell 32% compared to first quarter of 08. In total our revenue has declined 34% during the first quarter. During Q1 all geographies slowed on a year-over-year basis due to the impact of the continued world wide economic slowdown. Unit shipment in North America were almost doubled that of Europe. However, the North American PND market for Garmin still shrank by 5% in the first quarter on it’s fell in bases. The automobile segment represents 59% of our total business, turn to Q1 2009, and it was down from 68% in 2008. Outdoor fitness yield to 18% of revenues in the quarter, a seven percentage points increased from 2008. Revenues by geography were relatively stable as all geography experienced similar declines in revenue. The low end units sales of PNDs accounted for approximately 85% of the total. The low end revenue of our PNDs account for about 80% of the total. So that 85%, 80% relationship product mix, compares to 80% and 70%, respectively during Q1 ‘08. Looking next at margins by segment, our Q1 automobile gross margin and operating margin were 32% and 2%, respectively. Margins were negatively impacted by the AFP decline, which is a result of price per catch in credit offered to our retail partners and significant channel inventory reductions. Margins are expected to improve in Q2 as pricing rebounds and volumes are improved. Our first quarter outdoor fitness gross margin was 61%, up 8% over the last year, due to product mix and a slight increase in our average selling price. Operating margins also increase year-over-year to 35%, which was up eight percentage points, but down 2% sequentially due to lower volumes. Q1 aviation gross margin was 69%, up 5% from prior year and 2%, sequentially due to product mix. In the operating margin within our aviation segment was 24% for the quarter primarily due to flat research and development costs on a lower volume. Our Q1 Marine gross margin improved to 60% as product mix improved operating margins however were down from a year ago quarter at 28% at sales pan unit volume declined. These margins are improved from our fourth quarter 2008 due to seasonality within the segment. Looking next at our over all operating expenses, our Q1 operating expenses were down $9 million on a year-over-year bases from $147 million in the first quarter of ‘08 to $138 million in the first quarter of ’09, but increased 940 bases points as a percentage of sales due to revenue declines. As I’ve mention earlier, R&D increased $6 million year over year and was up 510 bases points to 12.6% of sales. We now employ almost 1800 engineers and engineer associates world wide and remain committed to protecting product innovation in the future. Our Ad spending decrease $15 million over a year ago quarter and 40 bases points as a percentage of sales from 5.7% to 5.3% in the first quarter of ‘09. We will continue to manage our advertising expense based on the macro economic conditions. Other SG&A was flat compared to a year ago quarter that increased of 470 bases points to 13.7% of sales from 9% a year ago as our sales declined. On a sequential basis, other SG&A declined $23 million due to the fourth quarter bad debt expense incurred by the company. Moving next to the balance sheet, we ended the quarter with cash at marketable securities of over $1.2 billion. Our accounts receivable decreased by a sequential bases to $420 million as we collected on sales made during the holiday quarter. Accounts receivable accounted for approximately 47 days of sales, down significantly over 2008. Our inventory balances continue to decrease and came down $72 million to $353 million as we continue to focus our inventory and production management. Our days with the inventory metric decreased 79 days at the end of 2008 to 73 days at the end of Q1 primarily in our finished goods inventory. At the end of Q1, we hold $137 million in raw materials, which is 26 days of inventory; $35 million in WIP and assemblies for seven days of inventory; $209 million in our finished goods inventory of 40 days; and, we hold $28 million in inventory reserves. While pleased with our level of inventory reduction, we anticipate it will increase in Q2 as we move in into a busier selling season. We will continue to manage the supply chain appropriately given our economic conditions. And it is our goal to have adequate inventory to support customer needs. However, we intend to carry the right level and mix of inventory to minimize the risk of obsolescence. Retail channel inventory has become very lean as retailers continue to reduce their inventory exposure and conserve their cash. We believe that channel inventory will not go lower than where we end in Q1. Moving on to cash flow, we had another solid quarter of cash flow and saw $299 million cash from operations during the period. We spent $13 million of CapEx and our free cash flow during Q1 was $286 million. We also invested $66 million use of cash during the period, again $13 million of CapEx, $52 million net purchases of marketable securities and $1 million acquisitions of businesses and intangibles. Cash flow from financing was a $2 million use of cash during the period and we earned an average of 1.8% on all cash and marketable securities balances during Q1. Finally, Garmin repurchased 117,600 shares during the quarter using $2 million of cash. And a reminder, we repurchased 17.1 million shares during 2008 using approximately $672 million. Our current authorization allows for $256 million to be used to repurchased through the end of December 31, 2009. And Garmin intends to be an active buyer of those shares as business and market conditions warrant. As I mentioned earlier, our tax rate for the quarter was 19% and we currently expect this to be right for the full year of 2009. So that's the financial summary for our first quarter at this point. Customary, we like to open up the lines for any questions that you might have.
Kerri Thurston: Anita, would you like to go ahead and queue the first question?
Operator: (Operator instructions) We’ll pause for a moment to compile the queue in a roster. Your first question is from the line of Vivek Arya. Sir, your line is open.
Vivek Arya – Merrill Lynch: Hi. Can you hear me now?
Kevin Rauckman: Yes, Vivek. Go ahead.
Vivek Arya – Merrill Lynch: Okay. Good morning. As we go later in the year and auto becomes a bigger part of the mix, do you see pressure on the gross margins? For example, last year's gross margins peaked in Q1, and then they were almost down 700 bits by the fourth quarter.
Kevin Rauckman: Yes. We would anticipate that margins in the fourth quarter at the end of the year would typically cycle down. However, in the near term in Q2 and Q3, we don’t anticipate as much movement there because of the – because we mentioned, we think ASPs will come up and rebound slightly in Q2 and Q3. That’s the typical seasonality that we see at the fourth quarter and down throughout the year.
Vivek Arya – Merrill Lynch: And secondly, how do we get a sense of channel inventory? I know that absolute inventory is coming down but sell through has not been that encouraging. So is it possible that the channel is actually well-stocked already? And what metrics do you actually use to measure where you are in channel? Is it weeks of forward inventory like – how do you measure where you are in the channel?
Kevin Rauckman: Well actually, let me clarify or correct one statement just to make sure everyone's clear. From a sell through basis, we actually have seen growth in the North American market on PND. So even though selling was disappointing because of the reduction of the channel inventory, sell through has increased. So what we typically do is we measure from our major retailers consistent both inventory levels and sell-in versus sell through, as we have pretty good visibility there and we have seen a pretty significant reduction during the Q1 period. As many of these national retailers have cut their inventory, in some cases as much as in half during the period., so we believe – as we’ve said, we believe we’re at the low period and we should see sell-in and sell through track pretty closely the rest of the year.
Vivek Arya – Merrill Lynch: I see. And in the last year if you look, sales are down but OpEx is down only 6%. You’re obviously investing in R&D, but marketing spending is going down. So how do you draw the right balance between increasing R&D versus increasing marketing? And what metrics do you use to see if that's the right mix?
Kevin Rauckman: I think that's the challenge that we have throughout the year, that we try to do everything we can to minimize increases in the variable cost of our business. So that included advertising clearly, and our marketing expenses. As we mentioned, we have held marketing or other SG&A flat year-over-year. One thing that we're not planning on doing is cutting our R&D. We really view that that's still important for the, as we mentioned product innovation in future technology. So we’d like to manage the advertising and other SG&A lines as best as we can. And as I mentioned, those numbers came down, overall operating expenses came down %56 million from Q4 to Q1.So we've done a good of a job that we could do given the currently economic environment.
Vivek Arya – Merrill Lynch: And this is the last question, just the longer term strategic type question. Is the future of Garmin in auto-PND or is it in smart phones with embedded GPS capability? And if it is in smart phones, are you dedicating enough resources to that effort and when can we actually see the products out in the market? Thank you.
Cliff Pemble: Vivek, this is Cliff. We believe that all these markets are good, valid markets going forward. We're investing in new areas, as we mentioned in the OEM side to be able to have a penetration on that market. And of course, we've been investing in the smart phone side as well to be able to participate in that market as well. For R&D growth that we've mentioned, much of that growth is actually in the mobile and the automotive areas in order to be able to sustain those markets going forward.
Vivek Arya – Merrill Lynch: Cliff, just to have a quick follow up on that, the nuvi phone was announced I think some time last year. What have been the reasons for the delays? Is it technical? Is it carrier testing relationships? If you could just give us some color around that.
Cliff Pemble: Smart phones are really complicated devices and bringing one to market that's built totally from the ground up on a custom Linux platform is not an easy task. We certainly haven’t performed to our expectations, but we believe we have a very unique device and we still have a lot of interest in the device from carriers. So we're working hard right now to complete the certification and we believe we're getting close to the end.
Vivek Arya – Merrill Lynch: Thanks and good luck.
Operator: Your next question comes from the line of Jeff Evanson of Dougherty. Mr. Evanson, your line is open.
Jeff Evanson – Dougherty: Sorry about that. Good morning, everybody.
Kevin Rauckman: Morning.
Jeff Evanson – Dougherty: I guess a couple of question here. Cliff, you mentioned that North American sales were up year-over-year. Is that units or dollars?
Cliff Pemble: Sorry. Are you talking about automotives?
Jeff Evanson – Dougherty: Yes, automobile.
Cliff Pemble: I believe we said that sell-in to the channel in North America was down 5%.
Jeff Evanson – Dougherty: No. Sell through, Cliff. Sorry.
Cliff Pemble: Yes. Sell through is a – we're seeing trends up in the range of around 20%.
Jeff Evanson – Dougherty: Okay. And how much benefit do you think you got from Circuit City being in liquidation mode? Sorry, not benefit but of that measure? Which benefit do you think you got just from Circuit City being in liquidation mode?
Kevin Rauckman: We don’t believe that there was much impact there.
Jeff Evanson – Dougherty: Okay.
Cliff Pemble: We didn’t get any benefit.
Jeff Evanson – Dougherty: No, but North American used it.
Kevin Rauckman: I think what you saw there is what typically would have been sold through – Circuit moved to other retailers. So we don’t really view that there's much benefit there.
Jeff Evanson – Dougherty: No. I know that your quarter didn’t benefit. Your quarter was actually hurt by it. I'm questioning the overall North American market growth. But I understand it's difficult to read through.
Cliff Pemble: We're looking at the sell through data on the major retailers that are active in the market now, not the ones that aren’t active. And just taking into the account the people that are in the market today, the growth is still there excluding Circuit City. So we still feel like the market is growing.
Jeff Evanson – Dougherty: Okay. And then Cliff, you made comments about the EU market, which obviously was weak. And you attributed that to the level of penetration in the EU. When do you think we’ll achieve that penetration level in the North America? Where do you think penetration can go a lot higher in North America compared to the EU?
Cliff Pemble: The penetration questions are kind of tricky because everybody has been debating what the right penetration is in Europe for a long time. And even today, people will say that there's markets that are under-penetrated there. Typically, the US markets has been a year, a year and a half behind that of Europe. And of course, everything is complicated right now by the economic conditions. So it's hard to say what the ultimate penetration number or the right penetration number it is.
Jeff Evanson – Dougherty: Kind of a question both for Cliff and for Kevin. You are at a run rate to spend between $225 million and $230 million on R&D this year. Are you comfortable that that's the right level?
Kevin Rauckman: We feel like we need to increase over the – we had this $206 million last year. So the number you made out is pretty close to what we would expect. And yes, we believe that that's the right number. If we had a different economic environment, we might even spend more. But we're trying to be a rational as we can in today's market and still grow for future.
Jeff Evanson – Dougherty: So when I look at this Q1 spending level of about $55 million, I should not assume that there's any real seasonality in that number, like it was being elevated in Q1 for some products work you're doing.
Kevin Rauckman: No. There's no unusual seasonality. We would expect to monitor at a very slight growth in that throughout the rest of the year.
Jeff Evanson – Dougherty: All right. Okay. And then my last question, Kevin this I think would be a great time to get some kind of sense about fixed versus variable cause in the automobile segment. These are very rough calculations but I'm coming up with something like maybe $50 million to $70 million per quarter in fixed cost in automobile split between cost of goods sold and SG&A. Can you give us any color on that?
Kevin Rauckman: I think we generally don’t go into that level of detail. But as you can see from what we did not only in the automobile but across our business, that we do have quite a few variable costs and I just commented earlier on that that’s advertising. Crawford’s advertising for example was volume independent. And then there's other decisions that we made recently just given a relatively flat to slightly down market. That we’re not going to invest in those areas. So clearly, still a lot of variable cost. But I think, like you said that the operating margins in Q1 should be the low point, we would expect those to increase Q2 and then beyond throughout the rest of the year.
Jeff Evanson – Dougherty: True. One quick follow up question, how much do you think ASPs were down in the quarter and how much of that was due to the kind of one time items of price protection and readjusting? What's the products in the channel?
Kevin Rauckman: I would say we would typically would have expected our PND-ASPs to slightly come up with the next but were down a little bit. So I think that was one of the impacts on sales that traditionally we have price protection every period. So nothing really abnormal over what we would have seen for example in Q1 of ’08. We do, in early trends in Q2, see ASPs coming back up. So to our point earlier about ASPs rebounding, I think we got some five weeks or so of data to support that.
Jeff Evanson – Dougherty: Can you give us some kind of magnitude on that impact?
Kevin Rauckman: I think for the year we still expect ASPs within the PND or out of level segment to come down about 15%. Clearly that's been above that in Q1 so they should moderate the figure through the rest of the year. But 15% seems reasonable.
Jeff Evanson – Dougherty: Okay. Thanks a lot.
Operator: Your next question comes from the line of Amir Rozwadowski of Barclays Capital.
Amir Rozwadowski – Barclays Capital: Thank you very much. And good morning, gentlemen.
Clifton Pemble: Good morning.
Amir Rozwadowski – Barclays Capital: Just talking about end demand market, recognizing that you folks are still seeing growth in the North American market. I was wondering, as we progress through the year, do you expect the North American market to continue to add in terms on end demand growth or do you expect perhaps a re-acceleration in growth as we progress through the year?
Kevin Rauckman: I think if you look at some of the market researches out there, you can sense that the overall unit growth could be in North America’s up is 18% to 20%. And I think we have more difficult talks in the first half of the year that we do in the back half of the year. So if you look at some of the researches out there, you would suggest that the back half, – you might get a higher growth on an overall year-over-year basis. But that’s very difficult to deal with the – I uncertainties about that right now.
Amir Rozwadowski – Barclays Capital: That’s helpful, Kevin. And then perhaps more broadly, as we’ve seen some of the trends in Europe and perhaps in North America with channel tightening, do you see the same level of support for the overall category from your retail partners as you’ve seen in the past? Or how should we think about that level of support?
Cliff Pemble: I think we’re s till seeing a very strong support from our retailers. We’re seeing some improvement actually in positioning as some of the smaller and weaker players are leaving the market. So in general, it still seems that there’s good support for the category. And of course everybody’s just uncertain about the economic conditions right now which is causing people to want to try to keep inventories low and so forth.
Amir Rozwadowski – Barclays Capital: But on that premise, Cliff, should we think that the channel inventory levels should return to levels that you – the channels enjoyed in the past or just still – maybe there are some uptakes, but still some of the caution on the inventory.
Cliff Pemble: As we said, we think we hit a bottom point in terms of channel inventory. And we don’t really anticipate that there’s going to be a big uptake in that or maybe some slight improvements as retailers realize that maybe they’re a little short and losing sales to others. But until the consumer really comes out and show that they’re spending, I think retailers will be cautious.
Amir Rozwadowski – Barclays Capital: That’s helpful. And then lastly if I may, and obviously you folks added much more cash to your coffers this quarter, I know you’ve spoken about share repurchase, is that the primary use of cash? Is that how we should think about things there?
Kevin Rauckman: As I mentioned in my remarks, I think we still have over $250 million left for that and we will consider buying into that one area. And I think the – given the strong cash flow during the period, the board – the department board hasn’t approved anything, but we would still look at the dividend this year. And then finally, we’re also in the current market evaluating other acquisition opportunities. So I think all three of those are on the table. So it’s not just one or either or.
Amir Rozwadowski – Barclays Capital: Great. Thank you very much for the incremental call again.
Kevin Rauckman: Thank you.
Operator: Your next question is from Mark Sue of RBC Capital Markets.
Mark Sue – RBC Capital Markets: The channel inventories, what is that in terms of weeks in Europe? And is there anyone particularly flooding the channels at the moment, any competitor that comes to mind? And as you give us a response, can you also give us your thoughts on whether or not major price stimulation will be required to kind of flush out the inventories in Europe?
Kevin Rauckman: In general, the weeks or the days that inventory got our retailers and our customers upheld, and many cases have come down, like I’ve said, as much as half. Some retailers are only holding three or four week of inventory. Some are still holding five or six, but that is significantly down from where it was at the end of fourth quarter. In terms of the pricing, I think we commented on that earlier. But I believe we would actually expect on the near term some AFP increases in Q2. Part of that driven by just the dynamics in the market, but also we’re anticipating selling in new product plus the 1200, 1500, 1400 nuvi family that Cliff mentioned will – in the near term will help us in that regard.
Mark Sue – RBC Capital Markets: Okay. And then the nuvi phones. Same question I asked on the conference call. Are the carriers waiting for Garmin or is Garmin waiting for the carriers? And any thoughts on units for the second half?
Cliff Pemble: At this point, the carriers are definitely waiting for the device to be completed. As I’ve mentioned, we’re in to the certification. So we hope that we’ll be able to complete that soon. And in terms of units, maybe Kevin can comment–
Kevin Rauckman: Yes. The units, we’re looking at about the same number as we have mentioned in our last conference call, so no major shift in terms of units and revenue. We’d expect between $100 million to $200 million revenue for the year. Obviously back half.
Mark Sue – RBC Capital Markets: And you get to say you’re one in that all customization required for certification, or is there still work to be done?
Cliff Pemble: The work is largely in space. I think it’s a matter of going through the testing and different things that has to go on in the certification.
Mark Sue – RBC Capital Markets: Okay. Thank you. And good luck, gentlemen.
Kevin Rauckman: Thank you.
Operator: Your next question is from John Bright of Avondale Partners.
John Bright – Avondale Partners: Thank you, Kevin. Staying with the automobile segment, so how does (inaudible) these days get the attention of auto OEMs right now?
Kevin Rauckman: Well interestingly they’re – auto OEMs are looking for ways to differentiate their products right now and are looking forward to the future for their industry. And so they are very interested in talking to players who can provide them innovation and help them differentiate their product line.
John Bright – Avondale Partners: How far along, Cliff, would you say that some of these discussions are? Are we looking – we saw the Chrysler announcement, but are we thinking that there’s a good possibility for additional announcements in this calendar year?
Cliff Pemble: Well I don’t really want to comment on what may be coming in terms of announcements. We did announce already that the 2011 share-a-key will be delivering and will actually start in the early 2010 as an advanced 2011 model year. So we’re excited about that. I think everything in the auto industry is a long time in the market, as you know. Although again, automakers are looking for ways to change their business models so that they could come to market pastures. So we would anticipate in the future that product innovation will come much quicker than the market.
John Bright – Avondale Partners: And as far as an APS store, an application for an APS store, lot of discussions about APS stores now on some of the other smart phones, is it something that Garmin has considered, will consider moving forward?
Kevin Rauckman: We offer a lot of content and capabilities that can come along with our products. And we have typically offered things unique to our product directly from our Web site. So we anticipate the ability to be able to offer the kind of things specific to our products on the nuvi phone line.
John Bright – Avondale Partners: Shifting to aviation and marine segments, I think there was some positive commentary talking about on the automobile segment that inventory levels reached a low point. Where do you – how do you say the aviation and marine segments respectively, as inventories are concerned and have you – do you think those segments reached their low point?
Cliff Pemble: For marine, the marine industry has actually been a decline for quite some time. So a lot of retailers have already been focusing on their inventory. And we don’t believe that there’s really an issue on that channel like what should be in the more dynamic automobile segment. As for aviation, it’s a very limited market in terms of its overall reach. So again, probably not an inventory concern there with the exception of some of the ends are trying to sell aircraft that have already been built. That’s a more limited self issue.
John Bright – Avondale Partners: Do you still anticipate introduction of the nuvi phone in the first half of the year, announcement?
Cliff Pemble: I think first half, of course, is quickly drawing to a close. And so we’re focusing more on the second half, we would anticipate that some devices will hit the market in various locations throughout the second half, some earlier, some later.
John Bright – Avondale Partners: Thank you.
Operator: Your next question is from the line of Reik Read of Robert Baird.
Reik Read – Robert Baird: Cliff, on your comments of the pricing, 15%. Is that for the full year or is that by the fourth quarter?
Cliff Pemble: That’s for the full year, Reik.
Reik Read – Robert Baird: Okay. And then just with respect to the comments on these issues have been temporary, can you talk about what change in the five weeks of data that you have? What you’re seeing there?
Kevin Rauckman: I think what we’re seeing so far is that we typically will have a seasonal increase from Q1 to Q2. And I believe that you should expect to see a similar trend like we did – we’ve seen in the last few years. So we’re in this spring (inaudible), and we’re obviously at a lower base coming off of Q1. But we’ve seen – I think the pricing trends that would suggest what I just stated. At 15% for full year makes sense. Unit increases and sales increases as we go through the dabs and grabs in spring selling.
Reik Read – Robert Baird: And is this going from down 24% to down 15%? Is that a function of mixed primarily, or is there something else behind that?
Kevin Rauckman: Reik, we’ve talked about price protections that we gave in Q1. So some of those have moderated and then also the mix with new product introduction into the new channel. So it’s a combination of both.
Reik Read – Robert Baird: Okay. And then just back on the inventory, you guys have mentioned, I think a couple of times, that you think it’ll go lower, sellout is now 20%. Does that suggest that selling has to really start accelerating and that’s why you got some of these favorable comments?
Kevin Rauckman: I think that’s part of that but we’re also focusing there on the North American market because the European market is not– we don’t see the 20% sellout. So you have to factor in both global business, but we’re cautiously optimistic in the US and we’ll continue to do some increase in the unit sales as we go into the Q2 and beyond.
Reik Read – Robert Baird: Okay. And then just on the marine and the aviation side of things. And you addressed this a little bit in the press release, but both we couldn’t expect it, but the gross margins generally better than expected, which I would consider unusual given the leverage. Is that primarily mixed that’s doing that or is there some other things? And how sustainable is that?
Cliff Pemble: It’s primarily mixed. Typically the leverage you would speak to have to come in the operating margin, you could see that operating margins in those segments were down just due to the reduced volumes. So it’s primarily driven by the mix in those two segments.
Reik Read – Robert Baird: Okay, great. Thank you.
Operator: Your next question is from Scott Sutherland of Wedbush Morgan Securities.
Scott Sutherland – Wedbush Morgan Securities: Hi, great. Thank you and good morning. I want to follow-up on the question earlier on the OEM opportunities in the auto market. We’re seeing, obviously, some of the smaller players in the P&D markets have a tough time. But there are new players coming at the OEM opportunity. Do you see partnership or do you see them more as competitors?
Cliff Pemble: We’re already partnering with key players in the automotive industry such as the Kenwood and Panasonic, which we’ve announced before. So we believe that having a strategy that allows our technology to be integrated with that of others is a good way to gain exposure.
Scott Sutherland – Wedbush Morgan Securities: Have you seen maybe more to telematics-types firms in the major parts suppliers to the car companies than those and others like that?
Cliff Pemble: Yes. I think that approach is really not anything new. I think those telematic players have been trying to fill solutions into the vehicle. I think what customers still like and relate to is what’s provided by the P&G set of products, which is good in part experience and could be built right into the vehicle as well. The telematic solution is a little more difficult because it’s typically awkward and has a lot of limitations in terms of operation.
Scott Sutherland – Wedbush Morgan Securities: In automobile, can you quantify the impacts you saw from the price projection on an AFP basis, maybe how many basis points it impacted? And maybe also on the segment margin basis, what could have been without the abnormal price protection?
Kevin Rauckman: We’re not prepared to quantify – the 32% gross margin number was impacted. I think we would have probably seen high 30% range without some of those credits on the automobile segments. And then the operating margin is not only impacted by that. The lower sale as well as the R&D investments in the nuvi phones so all of those were factored in a pretty low operating margin in that segment.
Scott Sutherland – Wedbush Morgan Securities: Okay. Lastly, can you talk about component price in build materials, do you see it down 10% to 15% still this year? Do you see it down with AFP declines in anything going down quicker than others?
Cliff Pemble: Well, I think in the first quarter we did see pretty decent cost reductions. The average, cost reductions in Q1 was about 21% down. However, I think going forward, just recently we’ve seen some flash memory increases, pricing increases. So we’re still expecting about a 10% year-over-year average cost reduction throughout the 2009 period.
Scott Sutherland – Wedbush Morgan Securities: Okay. Great. Thank you.
Cliff Pemble: Thank you.
Operator: Your next question is from line of Paul Coster of J.P. Morgan.
Paul Coster – J.P. Morgan: A Couple of questions. First on the ISP recovery, I just want to make sure I understand this. The new products are going to help contribute towards that. But the new products’ span value as well as the high-end of the market. Does this spell a shift in that mix of low-ends back towards high-end or do you think it’s going to stay at around above the 85% of unit volumes in 2Q
Kevin Rauckman: We don’t expect that the 85% – 15% as where we would define low and high and really is going to move much throughout the year. So it’s primarily – anytime you see a new product sprout to the market, we tend to have a little bit of increase in AFP. That’s the main point there.
Paul Coster – J.P. Morgan: Can you talk a little bit about the customer concentration. Are there any in terms of customers, but more specifically with the PND group in mind in North America? How much of your business is concentrated in the discounts and big bucks retails?
Kevin Rauckman: I don’t think– We haven’t really seen a major move there from what we saw at the end of the fourth quarter. Obviously, Circuit City’s no longer – we’re not selling to them, but the big guys that we’ve talked about in the past that we mentioned in our 10-K when that filed with the one – our largest customer exceeded 10% of our shares last year. So they continue to be a large customer as well as Wal Mart and Target, and then the discounters like Sam’s and Costco continue to be part. There hasn’t been a big shift mix-wise between the big bucks retailers and the other online distributors.
Paul Coster – J.P. Morgan: Thank you, Kev. And my last question is the comprehensive market seems to be – competitive landscapes seem to be getting better in many respects. But then again, Motorola and even Best Buy with their insignia brands seem to be coming into the market. What do we understand from those two brands? And have you seen any impact from them?
Kevin Rauckman: The response there is you just look at the global market share and the gains. We still have retained, as Cliff said, over 50% market share. We’ve not seen any lock in share so even with some of those changes in the competitive landscape Garmin’s done quite well in the current economy.
Paul Coster – J.P. Morgan: Got it. Okay, thank you.
Kevin Rauckman: Thank you.
Operator: Your next question is from line of Thomas Lee of Goldman Sachs.
Thomas Lee – Goldman Sachs: Hi, thanks for taking the call. Just a few questions, I guess starting with Kevin, on the OpEx run. Just curious, I know you mentioned it on R&D, you’re still expecting investors. But can – even these things were to deteriorate further, on the SG&A front is that – include advertising as well as I guess, other sales and marketing? Is that – can we assume that Q1 is going to be a low point for the year or do you think that could potentially go even lower if let’s say, if things were to get worse?
Cliff Pemble: We’ll watch that very carefully, but we do believe that Q1 was the low point.
Thomas Lee – Goldman Sachs: Okay.
Cliff Pemble: From an OpEx, we would see slight increases in Q2 to go with the increases in sales. Hopefully, we get a better leverage down the operating margin. We do expect, as I’ve mentioned several times, up margins increased to a much in Q2 and beyond.
Thomas Lee – Goldman Sachs: Got it. Okay. And then do you – depending on the –the trajectory should be similar to kind of – from a seasonality perspective what we’ve seen in prior years if – obviously with the market?
Kevin Rauckman: With the exception of the other SG&A line, where we required several European distributors in past years, we like to be able to hold other SG&A flats are slightly up. Advertising will be – as I’ve mentioned earlier, somewhat variable depending on sales.
Thomas Lee – Goldman Sachs: Got it. Another SG&A and I think you said in the last call that roughly $7 million a quarter, is that still the number to think about? Or–
Kevin Rauckman: That’s currently our forecast for the year. Yes.
Thomas Lee – Goldman Sachs: Got it. And then just on the margins trajectory for the automobile business. Obviously, it was a tough quarter, but and I know you said that this in Q1 is going to be the bottom from a margin perspective. But as we think about the trajectory in to Q2, Q3 do you think there could be a more gradual increase from that 2% level or can we expect a pretty meaningful snapback in Q2 to maybe whether it’s double-digit mid-teens type levels?
Kevin Rauckman: I think you can expect increase up into the double digit range in Q2.
Thomas Lee – Goldman Sachs: Okay. Okay. That’s helpful. And then just the last question, similarly on the marine and aviation margins, can we assume that the margins that we’ve seen both in the gross and the operating side are those kinds of the margins that are likely to hold through the rest of the year? Or is that could potentially turn down?
Cliff Pemble: I believe that strictly on the aviation that should be pretty stable. Hopefully we’ll get higher on the aviation. And then marine, there’s a little bit more seasonality in marine. So Q2 will be increased sequentially, and we’ll see marine sales drop off. And when we see sales come down later in the year, our margins will decline over current levels. So we’re probably looking at the mid-20% to 30% operating margins within marines.
Thomas Lee – Goldman Sachs: And then for aviation, is that mid-20s as well? Or–
Cliff Pemble: Yes, I think the aviation, we should be at the low point, but it should be the mid-20s to the 30% range as well.
Thomas Lee – Goldman Sachs: Got it. If I could just – just one last one. On automobile side, excluding the year, do you think – any sense of what the margins could be assuming your forecast? You expect gross margins to be kind of that low-30s and then in up margins, can it get to 20% or is that probably a stretch?
Cliff Pemble: 20% for the full year is probably a stretch.
Thomas Lee – Goldman Sachs: All right. I mean for the Q4, excluding the year.
Cliff Pemble: Q4, that’s a stretch, yes.
Thomas Lee – Goldman Sachs: Okay. All right. Got it, thank you.
Operator: Your final question–
Cliff Pemble: I think that’s all we’ll have for now. We appreciate everybody’s questions and we’ll get in touch in the future. Thanks for your attention today.